Operator: Thank you for standing by, and welcome to Skillsoft's First Quarter Fiscal 2025 Results Conference Call. At this time, all participants are in listen-only mode. After the speakers present there will be a question-and-answer session. Please note that today's call is being recorded. I will now hand the call over to your first speaker, Chad Lyne, Head of Investor Relations. Thank you, Chad. Please go ahead.
Chad Lyne: Thank you, operator. Good day, and thank you for joining us to discuss our results for the first quarter ended April 30th, 2024. Before we jump in, I want to remind you that today's call will contain forward-looking statements about the company's business outlook and expectations, including statements concerning financial and business trends, our expected future business and financial performance, financial condition, and market outlook. These forward-looking statements and all statements that are not historical facts reflect management's current beliefs and expectations as of today, and therefore are subject to risks and uncertainties that could cause actual results to differ materially. For a discussion of the material risks and other important factors that could affect our actual results, we refer you to our most recent Form 10-K filing with the Securities and Exchange Commission. We assume no obligation to update any forward-looking statements or information, which speak as of the respective dates. During the call, unless otherwise noted, all financial metrics we discuss will be non-GAAP financial measures, which are not prepared in accordance with generally accepted accounting principles. A reconciliation of the non-GAAP financial measures included in today's commentary to the most directly comparable GAAP financial measures, as well as how we define these metrics, is included in our earnings press release, which has been furnished to the SEC and is available on our website at www.skillsoft.com. Following today's prepared remarks, Ron Hovsepian, Skillsoft's Executive Chairman, and Rich Walker, Skillsoft's Chief Financial Officer, will be available for Q&A. With that, it's my pleasure to turn the call over to Ron.
Ron Hovsepian: Thanks, Chad, and welcome everyone to today's call. It's great to be with you. For those of you who I haven't had an opportunity to meet, I recently joined Skillsoft in a full-time capacity as Executive Chairman, following six years of Board involvement with Skillsoft and its pre IPO predecessor company. On our last earnings call, we discussed some of the market dynamics and execution gaps that resulted in a performance that was below our expectations. Those issues continued to weigh on our progress in the first quarter, with results that were not up to the standards that I expect from the organization. In the eight weeks I have been in the role, I have been deeply focused on examining our strategic market opportunity and our organizational structure and operating model within the market. The challenges and opportunities for Skillsoft are clear to me. We are moving quickly to evolve our strategy, strengthen our operational foundation, and improve our execution to ensure success in both the near and long term. Let me turn to our strategy and market opportunity. I've had the opportunity to spend a lot of time over the past two months with our various stakeholders. The perspective and input from our customers, partners, employees, and investors has been invaluable. These conversations have given me greater confidence in Skillsoft's market opportunity and the growth potential we have in it, as well as where we need to adapt to better serve the market. Strategically, the market opportunity for Skillsoft's overall business is significant, and we believe there are long-term structural tailwinds in all areas in which we operate. The core enterprise learning market is a large, dynamic, and growing area that is served primarily by our content and platform segment. And the breadth of our solutions position us well here. But we will continue to refine our strategy and approach to accelerate our momentum in this market. The individual learner or consumer market continues to have expansion opportunities ahead of it, and we have unique digital capabilities and interactive learning experiences that we believe can better leverage to win this market. And finally, the instructor-led training sector is growing on a global basis, particularly for the cohort-based virtual and blended learning modalities. And we are more urgently focused on turning around our performance in this important part of our business. This leads me to the second area I've been focused on, which is our organizational structure and operating model. The speed of decision-making is a critical success factor to serve the dynamic content market. It is clear to me that we need to move more quickly and lower the center of gravity to support more focused decisions at the right levels of the organization to meet the fast pace of the content market. To do so, we've fully rolled out and are quickly operationalizing a dual business unit structure run by two general managers with full P&L responsibility and accountability for the respective business units' operational performance, including product development, go-to-market, customer delivery, and success. Given the impact the instructor-led training segment has had on Skillsoft's performance, addressing its challenges has been one of my top priorities. We move swiftly to recruit and onboard Darren Bance as the new General Manager of this business unit. Darren is a proven executive and an accomplished operator in this space. And I'm confident in the positive impact his leadership and deep domain expertise will have as we re-energize this important part of the organization. And we build the foundation for innovation and a return to growth for the instructor-led training. As part of this dual business unit structure, we've consolidated and more deeply integrated our Codecademy consumer teams and operations under the leadership of Apratim Purakayastha, General Manager of our content and platform segment. Under AP's leadership, we expect to more broadly leverage Codecademy's brand halo, innovation engine, digital capabilities, and interactive learning competencies across the rest of the organization. And in our go-to-market organization, we've realigned and flattened the sales and marketing teams to directly support our two business units and their respective customer acquisition, growth, and retention motions. We've upgraded several key leadership roles in the recent quarters and will continue to focus on upleveling talent across the company to win in the enterprise and grow closer to our customers. Let me now turn to what I've been hearing and learning from our customers. The executives I've been meeting with share the view that the shift to a skill-centric economy is accelerating. The world of work is being reshaped and disrupted underpinned by the rapid technological advancements like generative AI. They echo research from Boston Consulting Group, which published the survey of more than 1,400 C-suite executives who indicated that nearly half of all workers will need to be re-skilled for GenAI in the next three years. In this context, these business leaders continue to stress the importance of investing to build a future fit workforce that is skilled, agile, and adaptable for a more dynamic and rapidly changing market. We believe this creates a global catalyst for upskilling and reskilling that Skillsoft is well positioned to serve. At the same time, organizations are facing greater financial pressures. Budgets have grown tighter, expenses are being reallocated or reduced, and investment plans are facing greater scrutiny. In some instances, we've seen these factors have an impact on the demand environment, renewal rates, and sales cycles in our industry more broadly. But in other instances, we've seen organizations use this as an opportunity to pursue operational efficiencies and improve learner outcomes by consolidating with fewer of the best-of-breed partners like Skillsoft. In an industry that remains highly fragmented with many niche providers, we believe Skillsoft is strongly positioned. We offer the market an end-to-end interactive learning solution, a full continuum of immersive and experiential modalities and competencies spanning the most in demand soft skills and power skills. Taken together, this holistic capability enables our customers to drive workforce transformation and realize tangible business outcomes at an enterprise-wide scale. We've had some very exciting customer wins and expansions in the first quarter that validate our approach and the unique value proposition. In one of the examples, we successfully expanded an existing relationship with one of the world's largest staffing and workforce solution providers, displacing an incumbent provider by deploying Skillsoft's Percipio, custom-aspired journeys, capabilities, and skill benchmarks. Following enterprise-wide rollout supporting more than 100,000 learners, the customer will experience stronger ROI with Skillsoft through an improved skills progression and internal talent mobility across the organization. And another example, we're supporting a European-based multinational financial services company in their transformation to becoming a digital banking leader. Central to their transformation is a focus on providing technical reskilling and enhanced leadership skills to more than 40,000 employees. The breadth of our capabilities across these domains allowed the organization to consolidate providers while we secured a five-year renewal and expansion worth more than $2 million of total contract value. And on the new customer front, we're pleased to win a three-year, seven-figure agreement to support the talent development strategy for a global leader in freight rail technology industry. Our unified solution offered the company the ability to streamline its investments across multiple compliance, health and safety, leadership and development, and technical skilling providers, while centralizing and enhancing the learner experience with Skillsoft for approximately 30,000 employees. Examples like these and the feedback I'm hearing from the executives at the customers and the partners, give me confidence that there is a clear and compelling opportunity for Skillsoft to enhance and grow its leadership position. As with any business in which I've been involved with, growth and value creation hinge on a clear strategic direction and priorities, a bias for action and streamlined decision-making and effective and aligned execution across the organization. This is where you will see me and the entire Skillsoft team focus for our journey ahead. You can expect to hear much more about our strategy, priorities, and plan for value creation at our upcoming Virtual Investor Day on July 11th. With that, let me now hand the call over to Rich to cover our financial results. Rich?
Richard Walker: Thank you, Ron. And thank you everyone for joining today's call. As Ron shared in his opening remarks, we are disappointed in our first quarter financial results. While the broader macro environment has exacerbated budget pressures at many organizations and was a contributing factor to our performance, we did not execute to our internal expectations. We are moving swiftly to address the issues that affected our performance, and we expect our progress to be evident in coming quarters. The long-term market opportunity for Skillsoft remains compelling and exciting, and we are committed to ensuring the company is positioned to realize its full growth and value potential. Turning now to a review of our financial results. Content and platform revenue of $98 million was roughly flat year-over-year, primarily due to the impact of tighter budgets on some of our larger in-quarter renewals and upgrades and softer consumer subscription performance. Our LTM dollar retention rate was approximately 99% in the quarter compared to approximately 101% in Q1 of last year. Instructor-led training revenue of $30 million was down 20% year-over-year, which includes an approximately 2% impact from the exit of our apprenticeship business in the United Kingdom in the second half of last year. Revenue was impacted by lower sales linearity during the quarter, as well as weaker demand trends that we've discussed on previous calls. Total revenue of $128 million was down 6% year-over-year. Walking through expenses, cost of revenue of $34 million or 27% of revenue was favorably down 9% year-over-year, primarily due to lower instructor and courseware costs related to lower revenue in the instructor-led training segment. Content and software development expenses of $14 million or 11% of revenue were favorably down 2% year-over-year, primarily due to facility savings and our ongoing focus to leverage lower-cost geographies. Selling and marketing expenses of $41 million or 32% of revenue were favorably down 7% year-over-year, primarily due to proactive reductions in paid media spend and lower headcount and personnel related expenses. General and administrative expenses of $20 million, or 16% of revenue, were up 10% year-over-year, primarily due to a benefit in the prior year period related to transition services for the sum total divestiture and payroll tax credits. Total operating expenses were $109 million, or 85% of revenue, and were favorably down $5 million, or 4% year-over-year. Adjusted EBITDA was $19 million or 15% of revenue compared to $22 million and 16% of revenue in the prior year period. GAAP net loss was $28 million and GAAP net loss per share was $3.42 compared to a GAAP net loss of $44 million or $5.42 per share in the prior year period. Adjusted net loss was $27 million and adjusted net loss per share was $3.37, compared to an adjusted net loss of $30 million, or $3.68 per share in the prior year period. Moving to cash flow and balance sheet highlights, cash flow from operations was $15 million in the quarter. Working capital was a source of cash with solid cash collections against prior periods accounts receivables. We invested $5 million in capitalized internally developed software and capital expenditures, resulting in positive free cash flow of $10 million in the quarter. We ended Q1 again, maintaining a solid balance sheet and a strong liquidity profile. Cash and cash equivalents and restricted cash was $150 million, up from approximately $147 million in the fourth quarter. Total net debt, which includes borrowings on our term loan and accounts receivable facility, net of cash, cash equivalents, and restricted cash was approximately $476 million, down from approximately $482 million in the fourth quarter. Turning to our outlook, although our first quarter financial results paced below our internal objectives and we expect some ongoing impact into our second quarter, we believe the actions we are taking in the business will allow us to deliver on our full-year expectations. We are reaffirming the ranges we provided on April 15th, which called for full-year revenue of $530 million to $550 million and adjusted EBITDA of $105 million to $110 million. Prior to opening the call for questions, I wanted to conclude by sharing our conviction in the growth potential for Skillsoft and our opportunity to build a more valuable business in the near term and long term. Throughout the company, we are moving thoughtfully but swiftly to make changes that we believe will strengthen our execution and enhance our financial results. We are excited by the infusion of new leadership and energy into Skillsoft global knowledge, and we look forward to the positive impact and change in trajectory that we believe Darren will have in that business. More broadly, our team is committed to ensuring Skillsoft is positioned to win in the market, deliver profitable and efficient growth, and generate value for our stakeholders. We appreciate your ongoing support and look forward to updating you on our progress in the coming quarters. With that, operator, please open the call for questions and then Ron will be back for some closing comments.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question will come from the line of Ken Wong with Oppenheimer. Please proceed with your question.
Ken Wong: Great, Thank you for taking my question. Yes, listen, I assume probably better for you, Ron, but just thinking about the restructuring, I guess when we see something of this magnitude, typically it's a step back before seeing several steps forward. With the reiterated guide, I guess it doesn't seem obvious that there's maybe kind of a rebuild going on here. Maybe just walk us through how we should think about the magnitude of these organizational changes, whether or not I'm thinking about the timeline from a kind of a recovery correctly here and I'm sure everyone's wondering the confidence in kind of that full year outlook considering, Again, the softer start and the softer messaging on Q2. Sorry for the long question.
Ron Hovsepian: No, no, great. Thank you, Ken. Great to hear from you again. From an overall perspective, when I look at where we are today and where we need to mature in the areas I highlighted in the script around the operational discipline and the execution piece combined with strategic alignment. I do see some early wins that we can go get as part of our journey here. And I do see the opportunity to close those things in short order. I'd tell you to look at the track record of things that we're trying to do. And Darren's hiring happened very, very quickly within measured weeks of my time here. And I think that should bode well for the velocity that the team is energized to work on as we go on this part of the journey. So when you get underneath it to your core question of, okay, with the reaffirmation of the full year, how do we get comfortable with that piece of it? And we're going through more details, climbing through all the pieces of that. And as I've been doing that with the team, I'm seeing areas where my confidence is growing and some areas where we need to do a little more testing. But at this point, I didn't see any reason to back away from where we are today from an overall perspective at this point in time. There's no reason to believe that. As Rich says multiple times, and I believe it, we are an annual business in general, about 70% of the revenue is in that neighborhood that's annual, and it is back-end loaded as we've seen. So there are things we can do right now to shore that piece of it up. And then the things that are closer in, like global knowledge, those are things that we are attacking very, very quickly. And I feel good about those near-term plans that we've laid out. More to come and we'll talk more about it at the July 11th Investor Day.
Ken Wong: Got it, okay, appreciate the thoughtful response there, Ron. And then Rich, just on bookings, perhaps you guys are no longer disclosing that metric, but just wondered if there's any color around the booking growth.
Richard Walker: Yeah, Ken, you're correct. We got input from investors. It's not been industry practice. We looked across what competitors were sharing and we no longer comment on the bookings. The revenue that we reported and our disappointment with that against our internal plans is the commentary we provided. The bookings forecast would have similar commentary on it, but we're not going to give a specific number.
Ken Wong: Okay, perfect. Thank you very much.
Operator: Our next question comes from the line of Raimo Lenschow with Barclays. Please proceed with your question.
Sheldon McMeans: Hi, this is Sheldon McMeans on for Raimo. Thanks for taking our question. Ron, I appreciate you gave some color on the ILT business and some of the learnings from your assessment there. And I wanted to ask, is it mainly execution issues with some macro? And I'm wondering, is this business structurally challenged at all in the current environment, particularly as the in-person side seems to be doing a little bit worse than the virtual side? Is there things that you need to do from a pricing and packaging perspective, and how should we think about this business going forward?
Ron Hovsepian: Yes. So, I think -- let me just summarize it, Sheldon, make sure I answer your question properly. I think the question macro is the market level and then two other, it's media synchrocytes around demand specifically in certain categories. Is that a fair summation?
Sheldon McMeans: Yes, yes.
Ron Hovsepian: Okay. In terms of the overall market, the data that I've now looked at shows the overall ILT market growing. So it gives me confidence that we have more of an execution focus that we need to get after. Underneath that, your call out that you mentioned about in-classroom versus out-of-virtual is a real phenomena that is happening there. And those are things that I think are demand driven on that side of it where we are missing the mark. They're just a simple example, just to help everyone understand it a little further is, we in the spirit of being more efficient, we centralized a number of the pieces around marketing as an example in that business, which got us the level of efficiency we wanted and consistency in the brand. As I've learned more about the business and with guidance from Darren, I've also seen that a little more local focus is actually very important inside of this business, right? So we just had a slight misfire on that one that I think is very fixable in a quick period of time, we can get that fixed and operating better. And that's partly why you hear the confidence from me that this is -- we can get this thing fixed and operating properly. Overall, I would say there's nothing that I see that says we have a segment issue. I do see it primarily vagaries of timing aside for a little bit, I do see it primarily as an operational matter that needed to get addressed very quickly and we are trying to move as fast as we can on that front. Because that's [Multiple Speakers].
Sheldon McMeans: Understood. Yes, a very helpful color there. And a quick follow-up. So we did see the dollar based retention for the content and platform business move below 100%. And I was wondering if you could help us think about how that looks for the lower end of the customer base. Did that get incrementally worse, or are you seeing some of the pricing pressures and some of the macro effects move up towards the higher end of the customer base.
Richard Walker: Yes, Sheldon, it's Rich. The year-over-year change in the LTM DRR, we lapped a large upgrade to one of last year, and we had a negative impact this quarter from a government funding relationship. The quarter is –
Ron Hovsepian: The government did not fund that line item in that agency, just to be clear. So they literally cut the whole thing up because it didn't get funded from the bridging budget in the government.
Richard Walker: And that impact in a quarter, it can -- and we look at it on an LTM basis, but there's noise in that metric is my point. It is best to look at it on an LTM basis. The context I'd give you is, two years ago at around [Dspec] (ph), two to three years ago, we had DRRs in the low 90s. So being right around the 100% to 101% is where we think we can operate in the near term. But longer term, we should drive that up over towards 110%. And we are seeing the segment impact that you described. Our largest customers have DRRs over 105%. And it's a different drag at the lower end of the market, but no material change in one area or the other. Just some general softness across all the segments.
Ron Hovsepian: Operationally, the only thing I'd add there is, the team has put a different motion in place for retention in that segment as part of our journey there. And I like the early read on that particular part of it. We'll see if it shows up in the numbers. But right now, those motion changes in that particular segment you were asking about, Sheldon, it has changed.
Sheldon McMeans: Understood. Thank you.
Operator: And our next question comes from the line of Raj Sharma with B. Riley. Please proceed with your question.
Raj Sharma: Hi. Thank you for taking my questions. My -- it’s a follow on from the last caller about the enterprise renewal rates slow down. You just said that -- it used to be large enterprises were your strong point and stable retention, so that is seemingly with DRRs greater than 105%, that still seems to be the case relative to smaller companies. Any specific industries that are impacted more so than others?
Ron Hovsepian: Hi, this is Ron. I haven't seen any data yet that would indicate anything in the industry level. As Rich said, with the exception of the government, that was the one that we felt multiple places when the budgets didn't get funded. The industry vertical piece, I don't see anything right now that's calling anything out. Again, this is a high signal to noise ratio in Q1 and Q2 because of the lower volume, Raj. That would be the only thing I'd call out. We went back and looked at last year, Rich and I, and we were at 101 roughly percent last year on the DRR and now we came in at 99%. So I'm not going to over-rotate on that at this point. It's within the norm from my perspective, especially considering the big deal that Rich highlighted and then the government agency one that we just literally evaporated. That makes a big impact in these quarters. $1 million makes a huge difference in these early quarters. So I think it's important. We're very focused on it. But I don't see anything vertical necessarily at this point. Rich, I don't know if you have anything to add.
Richard Walker: Yes, I would only add to that, that what we saw in the Q1, I don't think is a trend, Raj. And if we look out to the balance of the year we expect that DRR we're forecasting that it's going to improve over the course of the year and as we inspect the pipeline and the pipeline build it gives us that confidence.
Raj Sharma: All right. Thank you for that color And then you used to give metrics around engagement and certain viewing and learning videos. And there are more -- any metrics on how engaged are the users and what's the kind of user -- some user flow and metrics around AI related apps on the platform?
Richard Walker: Yea, Well, I'll ask you to be sure to be at the July 11th Investor Day. We're going to have a more fulsome discussion. What's very interesting though is, as we've seen the market move, usage is probably a lesser of an important metric. Just utilization of the content is informative on one level, but our customers and our best customers really want us to measure outcomes and how we're progressing with whatever strategic objective they've assigned to partnering with Skillsoft. So the metrics around usage from the individual learner are insightful, but increasingly, we're starting to measure outcomes, and our customers are asking us to do those measurements differently.
Ron Hovsepian: We saw that in the [Multiple Speakers] back, by the way, as well, Raj, that the outcome dimension of the quality of the platform and separately the content resonated with that customer so that they felt like they weren't getting that from the competitor that they left us for and then came back.
Raj Sharma: So the outcome metrics are -- any sort of color on those? Are you doing better on those outcome metrics?
Ron Hovsepian: Yes, the answer is, yes. We're starting to frame those things. What I would tell you is, we're seeing at the enterprise level, specifically, we've seen the emergence of three cohorts of customers. We're not going to regularly speak to it, but just to give you the color on the cohorts. One of them is around workforce transformation. And you can imagine with all the technology things we've been talking about, that's front and center for a lot of companies. The second area that we see is continued leadership development, especially in this modern time where there's a whole new set of things that leaders have to deal with from remote working to other social issues in this workplace environment, both remote and physical, but as well as all the other dynamics of developing a leader. And then three, also they're looking for outcomes that drive more retention of their key employees and what I would call career mobility. Am I keeping the people I want in the company as part of it or more broadly succession. But I think career mobility, I've used that statistics internally in the last 15 years to track our employees getting new opportunities within the level as a promotion opportunity, as a promotion opportunity within grade. Those are all things that are important to career mobility. Those are the three big cohorts that we've identified from our research so far.
Raj Sharma: Got it. And then lastly from me on the ILT side. I think you just commented the overall ILT market is growing, but clearly your business of global knowledge is not growing. Is there anything specific that is different here? Is it lack of content or different things or products that -- is it the execution internally? What is going to change? And we're trying to get a sense of where the bottom is for the ILT business.
Ron Hovsepian: So three things quickly. One, the good news is this business is a very fast paced business, meaning, it occurs in a quick cycle. So that's a very important concept. So I think when we talk about where it bottoms out, I'm not ready to forecast anything there, but I will tell you I'm positively predisposed by how fast it can move. Two, it is operational in nature, and I would put that with us internally to the company. And that is really focusing in a couple of areas. One, our marketing. And I gave an example a little earlier of we really need to be more local in the way we market our products. Two, we need to focus on better execution on our fill rates, how many people are in attendance at our sessions, both virtual and physical as part of it. So those pieces play together in my mind in terms of pure operations. So that's the second big one. And then the last part of it, from my point of view, again, as I look at it, there's also an opportunity to increase margin in certain areas and product in certain areas. So I do think there's some product bundling and packaging of how we're doing things and also the approach that we can take. All of those things could end up improving the overall profitability of the company and of GK specifically and the revenue momentum behind that. So those are things we're going to be very focused on as a business as I've looked at it. Hopefully that helps on that one, Raj.
Raj Sharma: Yes, great. Thank you so much and I'll take my questions offline. Thank you.
Ron Hovsepian: Okay.
Operator: And our next question comes from the line of Tom Singlehurst with Citi. Please proceed with your question.
Thomas Singlehurst: Yeah, thank you. It's Tom here from Citi. A couple of questions, if it's okay. The first one is, just whether you can give us any sort of geographical flavor on top of what you said. Is there any sort of wide divergence between geographies that sort of exacerbated some of the execution challenges you had. And then the second question is, within ILT, you've been fairly clear that the market's growing, but you've had some challenges which you've attributed to execution. So I guess that's a slight market share loss, which hopefully comes back pretty quickly. On the content and platform side, do you actually think you're losing share? Or is your growth rate more sort of representative of the market? Those are the two questions. Thank you.
Ron Hovsepian: Okay. In terms of geographic idiosyncrasies or trends that we're seeing, I'm looking at my teammates here. We're all kind of thinking about it. Really nothing is leaped out at us at this point that I would call your attention to from an overall perspective. We're seeing good expansion, growth in the Asian markets that we've selected to focus on more thoroughly. Europe continues to show the right trajectory of where it's been operating. When you get under the ILT, that's been consistent on the negative side, unfortunately. And those are things that we can fix, in my opinion, and fix quickly. So nothing that leaps out at me. Continuing the thread on ILT, in terms of your question there, what I see with IOT there is really just the execution matters that we touched on. And I do see that as a highly fixable problem, if I could turn that into a word there. So we can fix that pretty quickly, in my opinion, as we go along that not giving you a date yet, because I got to let for Darren get going here. He just got in the door no more than two weeks ago. So from that perspective, I am more comfortable where that one can lead to, and I'm hopeful that it's faster. And we'll talk more about that. On the content and platform side, in terms of market share growth, it's a really fair question. I don't have a tight answer to you just yet. At the overall level, in the content market, there's different segments. And when you look underneath the segments, we're performing at varying degrees there. Good leadership in certain categories, which I'm comfortable with. When we think about the customer segmentation, where we're choosing to engage, that's one area that's in my focus right now, to do that in a more wide reaching way and in a more cost effective customer acquisition cost and a cost to serve model that is something that we're working on and we'll look to share more of that with you at Investor Day as part of the overall journey. But nothing of great note that I'd call out in the sub segments that we're working on the content side.
Thomas Singlehurst: Perfect. Thank you.
Operator: Thank you. We have reached the end of our question-and-answer session and with that I would like to turn the floor back over to Mr. Ron Hovsepian for closing comments.
Ron Hovsepian: Thank you, Camilla. First and foremost, thank you for your patience and letting me get up the curve here -- give me a little time to get up the curve here. As I look at the business, I would want to leave you from this call not pleased with our overall performance from an execution perspective. And we're very focused as a team to work on that and get that to the right level of discipline. And that will take a little bit of time, not a ton, but just a little bit of time. Two, I am more convicted on the market opportunity, both at the overall company level, as well as within the two business unit market segments that we're choosing to serve. As we chatted through on today, you can see a growing confidence on the ILT piece of it because it is growing and we can do a lot more there in my opinion from what we've studied. You'll see us continue the focus and execution approach. You'll hear that a lot from myself and the team as we go forward. And that's the name of the game for us as we look at these pieces. And when we have product gaps or shortcomings, every company goes through those prioritizations and will migrate through them. There's nothing that I've seen that is structurally wrong. And when I look across the whole business, there's nothing that I've seen here that I haven't seen before in my career and know that we can fix them. So I feel very confident on that particular piece. And with that, a reminder that July 11th will be that Investor Day and I look forward to having a chance to go a little deeper and give you some more color behind the numbers and the references that we're making. So thank you very much and have a good day.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.